Operator: Good morning. And welcome to the Icahn Enterprises L.P. Q3 2015 Earnings Call with Jesse Lynn, General Counsel; Keith Cozza, President and CEO; and SungHwan Cho, Chief Financial Officer. I would now like to handover the call to Jesse Lynn, who will read the opening statement.
Jesse Lynn: Thank you. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. These forward-looking statements involve risks and uncertainties that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive, legal and other factors. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change, except as otherwise required by law. This presentation also includes certain non-GAAP financial measures. I will now turn the call over to Keith Cozza, our Chief Executive Officer.
Keith Cozza: Thanks, Jesse. Good morning. And welcome to the third quarter 2015 Icahn Enterprises earnings conference call. Joining me on today’s call is SungHwan Cho, our Chief Financial Officer. I would like to begin by providing some brief highlights. Sung will then provide an in-depth review of our financial results and the performance of our business segments. We will then be available to address your questions. Net loss attributable to Icahn Enterprises for Q3 2015 was $440 million or $3.40 per LP unit, compared to a net loss of $355 million or $2.90 per LP unit in the prior year period. Adjusted EBITDA attributable to Icahn Enterprises for Q3 2015 was a loss of $32 million, compared to a loss of $2 million in Q3 of 2014. Our investment fund had a negative return of 10.3% in the third quarter of 2015, compared to negative 5.3% in the prior year period, Q3 performance was negatively impacted by losses from some of our long equity positions with significant exposure to the commodity sector. Year-to-date through September 30, 2015, the funds had a negative return of 2.8%. In our Energy segment, CVR’s petroleum subsidiary had another solid quarter. The petroleum business benefited from favorable product margins and had combined refinery crude throughput of over 200,000 barrels per day. The Fertilizer business results were affected by lost production associated with the scheduled plant turnaround, as well as downtime due to several outages caused by third-party equipment failures. In Q3 the Fertilizer business announced an agreement to acquire Rentech Nitrogen Partners. The acquisition will create an expanded MLP with a leading position in the U.S. nitrogen fertilizer industry, a more diverse production base, enhanced margins through cost savings of the combined entities and is expected to be accretive to distributable cash flow per share. In our Automotive segment, Federal-Mogul reported sales of $1.8 billion, an increase of 7% in constant dollar terms. This increase was due to sales generated by the engine valve business acquired from TRW earlier this year. Federal-Mogul continues to make progress integrating the significant acquisitions made over the last couple of years consisting of TRW’s engine valve, Honeywell’s brake and Affinia’s chassis businesses. This was the first full quarter of sales from IEH Auto, which was acquired by IEP in the second quarter of this year. Third quarter net sales were approximately $189 million. Our Railcar segment had strong margins for railcar manufacturing and railcar service operations in Q3 and we continued to build our lease fleet with over 44,000 railcars at quarter end. In our gaming segment, Tropicana had another solid quarter, with improved operational performance at a majority of the properties. Tropicana Atlantic City experienced higher gaming volumes, as it has benefited from significant capital investments made at the property, in an addition to the closure of certain competitors. With that, let me turn it over to Sung.
SungHwan Cho: Thanks, Keith. I will begin by briefly reviewing our consolidated results for Q3 2015 and then highlight the performance of our operating segments and comment on the strength of our balance sheet. Net loss attributable to Icahn Enterprises for Q3 2015 was $440 million or $3.48 per LP unit compared to a net loss of $355 million or $2.90 per LP unit in the prior year period. Adjusted EBITDA attributable to Icahn Enterprises for Q3 2015 was a loss of $32 million compared to a loss of $2 million in Q3 2014. As you can see on slide five, most of the decrease in EBITDA net income from the prior year is tied to the performance of the investment segment. I will now provide more detail regarding the performance of the individual segments. Our Investment segment had a loss attributable to Icahn Enterprises of $479 million in Q3 2015. The Investment funds had a return of negative of 10.3% in Q3 2015 compared to a return of negative 5.3% for Q3 2014. Long positions had a negative 24.5% return for the current quarter while short positions and other expenses had a positive performance attribution of 14.2%. Since inception in November 2004 through the end of Q3 2015, the Investment fund’s gross return is 221% or 11% annualized. The Investment funds continue to be significantly hedged. At the end of Q3 2015, net short exposure was 26% compared to a net long exposure of 14% at the end of ‘14. IEP’s investment in the funds was $4.2 billion as of September 30, 2015. Now to the Energy segment. For Q3 2015, our Energy segment reported net sales of $1.4 billion and consolidated adjusted EBITDA of $236 million compared to net sales of $2.3 billion and consolidated adjusted EBITDA of $144 million for the prior year period. CVR Refining reported Q3 2015 adjusted EBITDA of $230 million compared to $130 million in the prior year. CVR Refining reported a solid quarter driven by high throughputs and favorable product margins. The Coffeyville and Wynnewood refineries posted a combined crude throughput of over 200,000 barrels per day. CVR Partners reported Q3 2015 adjusted EBITDA of $4 million compared to $21 million in Q3 2014. Impacting the third quarter results were expenses and lost production related to a scheduled major plant turnaround. Third quarter results were also impacted by more than two weeks of additional plant downtime following the outage of third-party suppliers. Results for the quarter also add back transaction-related expenses associated with the Partnership’s announced agreement to acquire Rentech Nitrogen Partners. And now turning to our Automotive segment. In Q3 2015, net sales for our consolidated Automotive segment which includes both Federal-Mogul and IEH Auto increased by $109 million from the prior year period and consolidated adjusted EBITDA was $153 million in Q3 2015 compared to $152 million in Q3 2014. Federal-Mogul on a standalone basis reported sales of $1.8 billion, down 3% from the prior year but up 7% in constant dollars. This constant dollar sales increase was due to sales generated by the engine-valve business acquired from TRW this year. Federal-Mogul operational EBITDA was $153 million, which was up slightly from the prior year despite $28 million of negative EBITDA impact due to foreign exchange rates. During the third quarter, Federal-Mogul powertrain division completed its second phase of the acquisition of TRW’s engine-valve business with the purchase of two plants located in the U.S. and in Thailand. With this phase of the acquisitions integration complete, the division’s global valvetrain footprint now includes 13 manufacturing sites ideally located to support its growing and diverse customer base. IEH Auto on a standalone basis had Q3 2015 net sales of approximately $189 million and approximately $6 million of adjusted EBITDA. Now turning to our Railcar segment, our Railcar segment’s consolidated adjusted EBITDA attributable to IEP grew to $121 million in Q3 2015 from $98 million in the prior year period. The increase was primarily driven by higher leasing revenues and higher mix of sales to third party customers. Railcar shipments in Q3 2015 were approximately 1,900 railcars, including approximately 1,160 railcars to leasing customers as compared to 2,150 railcars for the prior year period, of which approximately 1,920 railcars were to leasing customers. As of September 30, 2015, ARI had a backlog of approximately 7,900 railcars, including 1,180 railcars for lease customers. According to the Railway Supply Institute, the railcar manufacturing backlog has dropped from a record level of nearly 143,000 railcars at the end of 2014, down to approximately 123 railcars at the end of Q3 2015. Tank cars are now only 31% of the industry backlog, down from a peak of 85% in Q1 2013. The leasing businesses within the railcar segment continue to perform well. In Q3, we grew the combined lease car portfolios to roughly 44,600 railcars from approximately 39,700 railcars at the end of 2014. Our Railcar segment’s liquidity position is strong with $271 million of cash at the end of the quarter. Now turning to Gaming, our Gaming segment posted solid Q3 2015 results, with consolidated adjusted EBITDA of $50 million compared to $37 million in the prior year. The majority of the properties experienced year-over-year improvement in operating performance. Tropicana Atlantic City’s gross casino win increased 4% in Q3 2015 as compared to prior year period as a result of increased customer volumes. In addition, promotional gaming credits redeemed at Tropicana Atlantic City were reduced by 3% during this time period. Internet gaming revenues also increased during Q3 2015. Based on market data, the Atlantic City market experienced year-over-year declines in gross casino win of 5.4% for Q3 2015. This was due primarily to the closure of four casino properties. Tropicana has a solid balance sheet with $223 million of cash and cash equivalents at the end of the quarter. Now turning to Food Packaging, net sales for Q3 2015 decreased by $9 million or 9% compared to the prior year. The decrease was primarily due to unfavorable foreign currency translation and unfavorable price and product mix, offset, in part, by higher sales volumes. Consolidated adjusted EBITDA was $14 million in Q3 2015, which was $2 million decrease from the prior year. Gross margin as a percent of net sales was 22% in Q3 ‘15 compared to 24% in the prior year period. Viskase’ cash balance at the end of Q3 ‘15 was $43 million. And now to Metals, net sales for Q3 2015 decreased by $94 million or 51% compared to the prior year period. The decrease was primarily due to lower shipment volumes and lower prices of ferrous and nonferrous scrap. Ferrous shipments decreased approximately 27% and the average ferrous selling price per ton decreased approximately 37%, from $366 down to $230. Adjusted EBITDA was a loss of $6 million in Q3 2015 compared to breakeven in the prior year. Gross margin as a percentage of net sales was a loss of 11% in Q3 ‘15 compared to a loss of 1% in Q3 ‘14. The market environment remains challenging with reduced demand from domestic steel mills, a weak export market, declining iron ore prices and competition for shredder feedstock. The company continues to invest in its operations with a focus on strengthening our competitive position within our existing markets. And now to Real Estate, Q3 Real Estate revenues were $42 million compared to $27 million in the prior year period. Revenues were higher primarily due to the $18 million gain recorded on the sale of 12 triple-net lease properties, partially offset by lower development sales and club revenues. Revenues from our club operations were down from the prior year period due to the sale of the Oak Harbor operations in Q2 2015. Our net lease portfolio continues to drive earnings in this segment with its 15 properties generating strong cash flows. The Real Estate segment generated $10 million of adjusted EBITDA in Q3 2015. Year-to-date we have sold 14 net lease properties and the Oak Harbor operations for net proceeds of $65 million compared to a book value of $26 million. Now turning to our Mining segment, as we discussed in the prior quarter’s call, IEP obtained control of Ferrous Resources Ltd during the second quarter of 2015 through a tender offer for our outstanding shares. Ferrous Resources owns rights to certain iron ore mineral resources in Brazil and develops mining operations to produce and sell iron ore products to the global steel industry. Our Mining segment has been concentrating its sales in Brazil where the best margins are being captured. During Q3 both domestic and global steel industries continued to show weakness, as steel mill utilization rates have not recovered and seaborne iron ore prices are still under $60 per metric ton. Our Mining segment expects the remainder of 2015 and the foreseeable future to be challenging for the steel industry, as it contends with slowing growth, overcapacity and increased competition. Now turning to our Home Fashion segment, Q3 2015 net sales increased by $2 million compared to the prior year period due to higher sales volumes. We are continuing to concentrate on higher margin lines and believe we will have solid placements for the remainder of 2015. Adjusted EBITDA was $1 million for Q3 2015, which was in line with the prior year period. Gross margin as a percentage of net sales was 15% for both Q3 ‘15 and Q3 ‘14. As of September 30, 2015, WestPoint had $14 million of unrestricted cash. Now I will discuss our liquidity position. We maintain ample liquidity at the holding company and at each of our operating subsidiaries to take advantage of attractive opportunities. We ended Q3 with cash, cash equivalents, liquid assets and our investment in the investment funds totaling approximately $6.2 billion. Our subsidiaries have approximately $1.9 billion of cash and $0.7 billion of undrawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining ample liquidity to enable us to capitalize on opportunities within and outside of our existing operating segments. Thank you.
Jesse Lynn: Operator, can you please turn the call over to questions please?
Operator: [Operator Instructions] Our first question is from Daniel Fannon of Jefferies. Your question please.
Daniel Fannon: I would like to start with a question around the investment segments. I understand the positioning of the portfolio is net short at this point. Can you talk about previous periods where you have gone net short and the length of time that you have generally stayed there, or any other color around that as well please?
SungHwan Cho: Sure. Hey, Dan. I would say at net negative 26%, this is on the shorter side, but it reflects the, I would say our views on the macro environment in general on a number of different fronts from high yield debt and credit kind of that we are in a credit bubble, potential impact of interest rate rises and the fact that we just don’t really see a tremendous amount of growth in earnings, we see a lot of kind of manufactured earnings in some of the more popular or broader S&P 500. And so the portfolios positioned to take advantage of I think trade -- with the market trading down. Compared to historically, this is a little bit more short than we probably have been but there have been some periods, whether it be inter quarter or at quarter end where we have been net short and I think, we adjust -- we tend to adjust based on the facts and circumstances and changes in our outlook on the macro environment.
Daniel Fannon: That helpful. And then related to that, are you able to provide any color on given that the markets are rebounded very strongly here in 4Q, where the portfolios stands or any update there, in terms of performance?
Keith Cozza: Yeah. We’re not going to do inter quarter updates on performance, that goes with the lawyers so.
Daniel Fannon: Yeah. I know that. Fair enough. I was just checking giving the short reversal in settlement between 3Q and 4Q? I guess, my next question is just kind of around the larger portfolio in general. So that the non-market value companies once where you basically hold 100% of the stake, that portfolio continues to grow, how should we think about that longer-term? I mean is it in terms of the exit strategies there, is there potentially a better use of the capital where maybe some of the stories there are longer term in terms of the turnarounds looks better than like get rid of them now and allocate that capital elsewhere or how should we be thinking about that?
Keith Cozza: I think the right way to -- I would referred -- historically the way we think about it and I think we’ve said this, we’ve been pretty consistent about this is, where potentially buyers and/or sellers in any particular one of our segments, right. The way we manage the business -- we manage the businesses on an ongoing basis with the assumption that we could potentially own it forever and we want to increase value, right. So we take actions and hope management accountable for increasing value of ours portfolio companies over the long-term. But at some point, markets get hot, multiples get high and you can look over the last 10 or 15 years, we’ve sold casinos at large profits. We’ve sold oil and gas properties at large profits over the years and when things get cheap we tend to be buyer. So you saw some things that we obviously think are cheap and you saw some new tuck-in acquisitions and mining and our purchase of IEH Auto earlier in the year that we think are on the cheaper side and we’re going to work to grow and create value there. But it really just depends. What we’re focused on though in the short-term is making each portfolio company, making the property investment and that could be acquisitions as well to ultimately increase the long-term value. But it wouldn’t surprise me if you looked at it five years from now. You’d see bunch of activity of segments may not be there and you probably see a few new segments.
Daniel Fannon: Thank you and that’s helpful. And then maybe other question, you guys continue to maintain a healthy dividend yield. How should we be thinking about that maybe a little bit longer term in terms of is it primarily driven by kind of what’s going on in your high cash flow businesses, I mean, like the Energy business and stuff, because the $50 per quarter, well, its provides a fantastic yield, it’s been stable now for almost two years now?
Keith Cozza: Yeah. I think the way we -- so I’d say two things, we listen to our investors and they’ve made it crystal clear that dividends important for them and that we’ve made a concerted effort over the past, I think, we originally really started increase in the dividend about three years ago to maintain that dividend and grow it overtime. However, in this market environment, so we certainly maintain that dividend as far as and our hope is to grow it overtime. So but that’s going to be a correlation of performance on the underlying businesses and it’s particularly the Investments segment, which is going to drive a lot of the liquidity in the overall portfolio. But as far sustainability, we think it’s very sustainable. We have significant cash outflows from a number of portfolio companies such as CVR Energy, ARI and our Real Estate segment and so the dividend is important and we hope to grow it, which will be performance based.
Daniel Fannon: Thank you. That’s it for me.
Keith Cozza: Thanks Dan.
Operator: [Operator Instructions] Our next question is from Jon Preizler of RH Capital. Your question please?
Jon Preizler: I just wanted to understand where you’re going to commit? What platforms do you think will attract the most capital for you guys? I know you’ve been putting money into Automotive and Energy. Are those two most likely candidates in the future or is there another existing segment or you could see that expanding materially?
Keith Cozza: I would -- well, I would say that the first comment I would make is that we do endeavor to maintain each operating portfolio with its own standalone capital structure. And whether it’d be access to the capital markets through debt, bond, bank offerings that type of stuff. So each company we do endeavor to have their own capital structure but as far as -- we obviously have a lot of capital at the parent level. And if for some reason they needed more capital for the right opportunity, I think we’d be willing to commit it. I would tell you that we honestly are looking at -- I mean, we’re looking at potential acquisition in four or five different segments because we think they can create value in long term. And so I don’t think right now we’re in a position where I suppose it’s an embarrassment of riches in the sense that we don’t -- we have enough capital to support all the segments. And we haven’t been pushed to make the decision of this opportunity or that opportunity, if they’re both very compelling highly double-digit return profiles. We’ve been lucky enough to be able to do both. So I think we -- we are very active in a number of the segments. So I don’t think it’s hard for me to say which one will ultimately lead to the most capital allocated to it.
Jon Preizler: And those acquisitions that you are looking at, would those be more bolt-on or materially larger?
Keith Cozza: I mean, it’s a little bit of a hybrid. The acquisitions we’re looking at are all bolt-on with respect to various segments that we are already in. But some of them could be material bolt-ons, if that makes sense.
Jon Preizler: Sure. Also, could you -- quarter over quarter Q3 versus Q2, did you guys increase the short exposure in the -- I think you have the notional or the S&P and the credit default swaps?
Keith Cozza: Yes. We increased our net short position quarter-over-quarter.
Jon Preizler: That’s all I have. Thank you.
Keith Cozza: Great. Thanks.
Operator: [Operator Instructions] I currently have no more questions in queue.
Keith Cozza: Okay. Thanks everybody. We’ll be talking to you early next year for the full year results.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may now disconnect. Good day